Operator: Thank you for standing by, ladies and gentlemen and welcome to the Star Bulk Carriers Conference Call on the Fourth Quarter 2014 Financial Results. We have with us Mr. Petros Pappas, Chief Executive Officer; Mr. Hamish Norton, President; Mr. Simos Spyrou and Mr. Christos Begleris, Co-Chief Financial Officers of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today. We now pass the floor to one of your speakers today Mr. Pappas. Please go ahead sir.
Petros Pappas: Thank you, operator. I'm Petros Pappas, the Chief Executive Officer of Star Bulk Carriers and I would like to welcome you to the Star Bulk Carriers’ conference call discussing our financial results for the fourth quarter and full year 2014. Before, we begin, I kindly ask you to take a moment to read the Safe Harbor statement on Slide number 2 of our presentation. This past year has been a transformational one for the company. After the merger with Oceanbulk and the acquisition of 34 vessels from Excel Maritime making Star Bulk, the largest U.S. listed dry bulk company with a fleet of 98 vessels on a fully delivered basis. Looking ahead to challenging 2015, we remain fully committed to take measures to protect our shareholders equity value and enhance our ability to weather what has proved as one of the most challenging dry bulk markets in the last 40 years. If you can now please turn to Slide number 3, I will walk you through the results of Q4 2014, full year 2014, and the current state of the company. Against a backdrop of weakening market conditions in the fourth quarter of 2014, the company recorded an adjusted net loss of $5.5 million and adjusted EBITDA of $16.6 million on net revenues of $45.6 million. For the full year 2014, the company recorded an adjusted net loss of $3.2 million and adjusted EBITDA of $43.6 million and net revenues of $111.2 million. Our fleet currently consists of 66 vessels on the water. We have taken delivery of 33 out of the total 34 vessels we acquired from Excel Maritime and expect to have the last vessels delivered to us by the end of this month. We continued taking delivery of our eco newbuilding vessels in the first quarter of 2015, adding 1 JMU Capesize and 2 NACKS Ultramax vessels to our fleet on the water with 32 vessels remaining to be delivered by September 2016. As part of our plan, fleet renewal, we have also sold four 90's built Panamax and Handymax vessels and agreed the sale of one additional 1993 built Panamax. On the Chartering front, we have partnered with owners of Capesize to trade Capesize Chartering Limited, an information sharing platform that will increase our visibility in the spot market and enable us to deploy our vessels in an increasingly effective manner. We have also been active in creating partnerships with owners of cargo like the agreement with a major, minor announced in December 2014 through which three of our eco new Kamsarmax vessels will be employed for a period of five years. This agreement will help us keep vessel utilization high and enable Star Bulk to retain the benefit of the eco vessels fuel savings as we are being paid on $1 per ton basis. Finally, our chartering performance remains strong for the fourth year in a row, with an average TCE in each vessel segment above the relevant Baltic Index on an adapted basis. We continue to be mindful of importance of low operating cost and corporate overhead in difficult market environments such as today and have managed to reduce our OpEx by 14% year-on-year to $4,750 per day. This makes us one of the lowest cost operators in dry bulk space. Our increasing size has helped us built stronger relationships with key suppliers and service providers which in turn helps us reduce our costs while we continue to grow. We are working to consistently provide our customers with high quality services at low costs and we feel confident that going forward, we will be able to achieve further synergies and economies of scale. Regarding financing, we have been busy converting negotiated terms sheets into committed debt. In February 2015, we executed long recommendations for $156.5 million ECA financing with Deutsche Bank, HSBC and Sinosure for eight of our Ultramax vessels. During March, we were able to secure financing of $51 million and $30.2 million from DVB and BNP respectively for two of our JMU Capesize vessels delivering in 2015. Finally, we also received commitments of $227.5 million from DNB, SEB and the Export-Import Bank of China for the financing seven of our newbuildings built in China, five new Kamsarmax and two Capesize vessels. As of today, we have total debt commitments of $906 million for 30 out of the 32 newbuilding vessels of our fleet and are proceeding to convert $65 million of our negotiated debt for the remaining two newbuilding vessels in deferred commitments. An important update with respect to our newbuilding program is the agreement with our builders for the postponement of certain pre-deliver installments from 2015 into 2016 and a similar shift of deliveries toward later dates. Due to confidentiality restrictions, we cannot disclose anything more on this issue at this point. But this is a result of the close relationship we have with our shipbuilding partners which enabled us to find a mutually beneficial solution with respect to the scheduling of new building vessel deliveries with no extra cost to the company. Finally, now the key development was the successful completion of a primary public offering of $245 million on January 9, 2015. Through these raise, we fully fund our newbuilding CapEx program and strengthen our balance sheet with over $100 million of excess cash. This transaction also demonstrates the commitment of the company's core shareholders who all participated to maintain their shareholding in the company. Our long-term goal remains to build a strong well-capitalized dry bulk shipping company that will continue to overcome market challenges and create long-term value for its shareholders. I would like now to pass the floor to one of our Co-Chief Financial Officers, Christos Begleris to walk you through our fourth quarter and full year financial statement.
Christos Begleris: Thank you, Petros. Let us now turn to Slide number 5 of the presentation for a summary of our fourth quarter 2014 financial highlights in comparison to last years. In the three months ended December 31, 2014, net revenues amounted to $45.6 million more than doubled $17.3 million for the same period in 2013. Net revenues represent our total revenues adjusted for non-cash items less voyage expenses. The reason we refer to our net revenues is because this figure nets out any difference in revenue recognition between voyage charter and time charters, and therefore it's directly comparable to other periods. This increase is mostly attributed to a significant increase of the average number of vessels to 50.8 in the fourth quarter of 2014 from 13.2 vessels in the fourth quarter of 2013. Adjusted EBITDA for the fourth quarter of 2014 was $16.6 million, an increase of 124% versus last year's figure of $7.4 million. Net loss for the fourth quarter 2014 was $8.1 million or $8.03 per basic and diluted share versus $0.054 million net income or $0.02 per basic and diluted share in the respective period of 2013. Excluding non-cash items and one-off expenses, our adjusted net loss for the fourth quarter amounted to 5.5 million or $0.06 loss per basic and diluted share versus 2.1 million of adjusted net income or $0.07 gain per basic and diluted share during the respective period of 2013. Our Time Charter Equivalent rate during this quarter was $11,384 per day compared to $14,467 last year. This is an illustration of the weaker than expected fourth quarter compared to last year's rally during the same period. Our average daily OpEx were $4,704 per vessel compared to $5,392 during the same period last year, representing a reduction of 12.8%. You can clearly see the positive effect of our economies of scale on operating costs. Continuing with Slide number 6 of the presentation and the review for full year 2014 financial highlights in comparison to 2013. In 2014, net revenues amounted to $111.2 million almost 62% higher than 2013 net revenue of 68.7%. This rise is attributed to the increase of the average number of vessels from 13.3 in 2013 to 28.9 this year. Adjusted EBITDA for the year came in at $43.6 million, 34.7% higher than the $32.3 million last year. 2014 ended with a net loss of 11.7 million or $0.20 loss per basic and diluted share versus a net income of $1.1 million or $0.13 gain per basic and diluted share in 2013. Excluding non-cash item and one-off expenses, our adjusted net loss for the fourth quarter amounted to $3.2 million or $0.05 loss per basic and diluted share versus $9.7 million adjusted net income or $0.69 gain per basic and diluted share in 2013. Our Time Charter Equivalent rate during 2014 was $12,161 per day compared to $14,427 last year. Our average daily OpEx were $5,037 per day per vessel compared to $5,564 during the same period of last year representing a 9.5% reduction. This reduction is even bigger, if we exclude approximately 3 million or $286 per day pre-joining and pre-delivery expenses related to the acquisition of Excel fleet and the deliveries of our newbuilding vessels. Taking these adjustments into account, average daily OpEx would have been $4,750 a reduction of 14% compared to 2013 similarly adjusted figure of $5,523. As you can see our continued efforts to contain cost through increased synergies and economies of scale across the fleet have began to bear fruits. Kindly turn now to Slide 7, for a review of our balance sheet as of December 31, 2014. As you can see from looking at the figures Star Bulk is a completely different company compared to 2013. Total cash balance including restricted and pledged cash stood at $100 million. Please note that the few days later in January 2015, we significantly strengthened our balance sheet with $245 million equity raise that fully funded our newbuilding program and increased our cash balance. Other current assets stood at $45 million increase from $8.3 million in the previous quarter. Net fixed assets stood at $1.4 billion versus $326 million in 2013. The 2014 figure includes 62 vessels on the water as of 31 December. Advantage for vessels under construction stood at $455 million comprised of $302 million cash paid for newbuilding installments for our 35 remaining newbuildings as of December 31. And $13.5 million of capitalized borrowing and supervision costs. As we have noted previously as well, I would like to note that in the process of consolidation with Oceanbulk, as per U.S. GAAP provision for business combinations and fair value adjustment of $138 million was recorded in this account on top of the cash newbuilding installments paid. On the liability side, total debt as of December 31, 2014 stood at $853.6 million versus $190.3 million for the same period last year. The former includes $50 million of our daily bond as well as $56.1 million of the bridge loan facility provided by Oaktree and Angelo Gordon, which was repaid in its entirety in January 2016. Total shareholders' equity as of December 31, 2014 stood at $1.15 billion versus 266 million for 2013. Based on the above our net debt was $753.6 million as of December 31, approximately implying a net debt-to-capitalization ratio of 37.5% clearly a healthy level. And now I will pass the floor to my Co-Chief Financial Officer, Simos Spyrou to continue with an update on our newbuilding debt commitments and CapEx performance.
Simos Spyrou: Thank you, Christos. Moving now to Slide 9, we are happy to report that we have now committed financing in place for 30 out of our 32 remaining newbuilding vessels of which we are scheduled to take delivery by the third quarter of 2016. This illustrates the excellent relationship we have with both existing and new financial institutions and our ability to source debt financing even in this difficult market environment. We have committed financing for 30 out of our 32 newbuilding vessels. We have used bilateral loans, club deals and ECI backed financing to tap various sources of credit with European and Asian financial institutions. Note that the Export-Import Bank of China has provided total commitment of close to $200 million against Chinese built newbuildings. We continue to see the banks prefer financing large and established companies that have access to various sources of financing and can withstand the market turbulence over smaller entities that might face increased headwinds during the downturn. We are currently in negotiations with two major financial institutions to finalize $65 million of financing for our remaining two newbuilding vessels and fully finance the debt portion of the newbuilding fleet. We expect this negotiations to turn into committed financing in the next one or two months. Regarding the underwater vessels, during the fourth quarter of 2014 and the first quarter of 2015, we were able to finalize and [close] [ph] one facility with DNB and Citigroup worth combined of $212 million that helped us refinance the Oaktree and Angelo Gordon bridge loan facility that was provided for the acquisition of the Excel vessels. As of today, this bridge facility has been repaid in its entirety. We are currently also have three 2004 built Panamaxes from the Excel fleet which have no leverage. We have received a commitment to finance one of these vessels and are in discussion with financial institutions to finance the remaining two as well. Overall, we are in constant contact with all major lenders in ship financing and continue to see a desire to support our growth notwithstanding the dire strait of the dry bulk market. On a fully delivered basis and excluding the bear BOLT financing schemes, we have agreed with certain yards, we will have secured financing from more than 14 financial institutions with board full of financial institutions create a strong base from which the company can continue to grow. Please turn now to Slide 10, where we summarize our operational performance over the last six years. We are pleased to see that our persistent efforts to contain costs are continuing to bear fruit. In 2014, we have started to [cross-see] [ph] the effect of our economies of scale as the number of managed vessels increased to 62 as of December 31, 2014. In this difficult market environment, low breakeven rates are vital and we aim to continue being one of the lowest cost dry bulk operators going forward without comprising our high-quality and operational standards. On the bottom left graph, you can see the evolution of our average daily operating expenses over the past six years. Since 2009, our daily operating expenses have been reduced from $6,900 to $4,750 in 2014 as 31% cumulative reduction. It is also important to note that the reduction in average daily operating expenses is staying in place without any comprise in the quality of maintenance of our fleet. Almost 85% of the vessels managed by Star Bulk have the five star Rightship rating, the highest level possible. The overall condition of our fleet is at excellent levels with all of our vessels ranked with either four or five stars by Rightship. On the bottom right graph, you can see the evaluation of our average daily net cash G&A expenses per vessel compared to the growth of personnel. Overall, while we have grown our headcount to accommodate for the increased number of managed vessels over the years, we have been lowering our core overhead cost per vessel. Given the transformational nature of 2014, the average number of employees increased by 83% to 110 for the year. Our average daily net cash G&A expenses per vessel has remained almost stable to 2013 levels at $1,440 per vessel per day due to our hiring of the necessary people to manage our fully delivered fleet of approximately 100 vessels ahead of time. We expect that as we continue taking delivery of our newbuilding vessels, we will have increased synergies across our fleet that will enable us to further reduce our operating expenses and G&A. We are building a platform that we hope that will be one of the highest quality lowest cost providers in the industry and we are dedicating time and the resources to mitigate as efficient as possible. Let me now pass the floor to our President, Mr. Hamish Norton, who will drive you through a discussion of our chartering performance and strategy as well as an overview of our current fleet and its growth plan. Hamish, the floor is yours.
Hamish Norton: Thank you, Simos. So 2014 has been another challenging year on the chartering side, but we have managed outperform the relevant Baltic Indices for the fourth year in a row on an adjusted basis. Turning to Slide 11, you can see that for 2014, the vessels in our fleet were able to achieve 127% of the adjusted Baltic Capesize Index, 144% of the adjusted Baltic Panamax Index and 110% of the adjusted Baltic Supramax Index. On the graph, on the bottom of the slide, you can see that we have managed to beat these indices consistently over the years as we continue to perform well in the volatile dry bulk market. Moving on Slide 12, we discuss our current chartering strategy where we remain flexible and are exploring all available options as we go through the seasonally low part of the year. As you can see from the graph on this slide, the one-year time charter rates for Capesize and Panamax vessels are at historically low levels at the moment. From a commercial standpoint, we are exploring opportunities for direct long-term cooperation's with dry bulk majors, which we are hopeful; provide us with steady flows of cargos and business. An example of such as cooperation was the announced strategic partnership with a leading mining company for the employment of three of our Newcastlemax vessels for a period of five years. This agreement allows us to ensure constant employment for those vessels for a long period, while also being paid on the prevailing spot dollars per ton rate, which will enable us to keep the benefit of all the fuel savings from this latest technology eco-vessel. Moreover, as you already know Star Bulk in cooperation with four of the largest Capesize vessel owners have founded Capesize Chartering Limited, an information sharing platform that will improve the efficiency of our Capesize vessels trading on the spot market. We are seeking to create similar arrangements another vessel category as well in order to be able to provide competitive bids to a wider customer audience. We continue to explore all available options to better employ our vessels. Now, in Slide number 13, you can see how our fleet will evolve over the next year and a half, by number of ships and by deadweight tons. On December 31, 2014, our fleet was comprised of 62 vessels while currently we have 66 vessels on the water and one more vessel from Excel expected to be delivered by the end of the month. By the fourth quarter of 2015 when we will have taken delivery of the majority of our eco newbuild orders, we will own and operate 90 vessels followed by our fully delivered fleet of 98 ships which will be attained in September of 2016. Having said that let me now pass the floor back to Petros Pappas for a market update and his closing remarks.
Petros Pappas: Thank you, Hamish. Following a disappointing fourth quarter in terms of ton mile generation and freight rate behavior, we anticipated that we would experience a difficult first quarter during 2015. The first quarter is the seasonally high-point of the year in terms of vessel supply due to high January vessel deliveries and the low-point in terms of demand or cargo availability as a result of poor weather conditions in the Northern Hemisphere. The Chinese New Year and maintenance taking place in major port and steel mills. The first quarter of 2015 has become even more challenging in terms of supply and demand fundamentals as the continuing fall of commodity prices affected buying activity. Let's now turn to Slide 15 for a brief update of supply. Ship owners have been very proactive when responding to negative demand developments. This year we are experiencing an encouraging strong response that has come in the form of vessel scrapping, converting, canceling and curtailing of the order. During the first two and a half months of 2015, we have identified almost 10 million deadweight that has already been scrapped and/or committed for demolition. This compares with 16.2 million deadweight demolished throughout 2014 and 3 million deadweight demolished during the first quarter of 2014. Even more importantly reported new dry bulk orders for 2015 year-to-date currently stand at around 600,000 deadweight. This marks the 20-year historical low for dry bulk orders placing of new orders is the most important future indicator and onus discipline during the next year will be key for a sustainable recovery to take place. An important development as we are experiencing during 2015 is that of newbuilding conversions a significant number of Capesize vessels is reported during the first months of 2015 that have been converted to crude and product tankers. The bulk supply related developments have led us to revise downwards our 2015 and 2016 dry bulk fleet growth forecast. We believe that the significant share of the existing order book currently standing at 20% of the current fleet will never be delivered. After adjusting for the delivery slippage and cancellation in second and third tier Chinese shipyards, we expect dry bulk fleet growth to remain below 4% and could even decrease below 3%. Furthermore, there is an increasing number of vessels that have been laid up during the last few months and these development will bring the net growth figure of available from vessels to lower levels than last year. Let's now turn to Slide 16, for a brief update of demand. We believe that the first quarter of 2015 will be recorded as the lowest quarter in the recent history of the dry bulk industry. During 2014, a number of medium term negative dry bulk fundamental developments took place such as Indonesian bauxite and nickel ore export ban; China's coal import regulations and strong hydropower contribution to energy generation; reduced grain congestion in Brazil; and iron ore congestion in China; acceleration of iron ore imports from Australia displacing long haul iron ore from Brazil and reducing ton miles. The combination of all these factors lead to a previously unanticipated freight rate correction across all vessel sizes that began in early December and painted a negative picture for the short-term and a collapsing sentiment which in our opinion should not be extrapolated. We view there isn't destocking over Chinese steel, iron ore and coal to be unsustainable as we enter high consumption season and a number of positive indicators are slowly emerging that could lead to a better dry bulk market from the second half of 2015. For example, Chinese officials during the early March annual parliamentary session announced that the government will invest in infrastructure projects and would support housing demand. Now, the key indicators that both iron core and coal domestic production are on a downward trend and point towards higher future substitution with inputs. The fall of commodity prices including oil and a persistent low interest rate environment have the potential to stimulate growth around the globe leading to upward revisions of dry bulk trade during the second half of 2015 onwards. According to Clarksons during 2015, dry bulk trade is estimated to grow approximately 3.5% with an acceleration of ton miles over the second half of the year. This is approximately inline with our supply growth estimate for full 2015. Iron ore trade is projected to grow at approximately 6.5% with Australia and Brazil leading export growth. Coal is projected to grow approximately 2.5% with India leading growth and offsetting any further decrease in Chinese coal imports. Chinese coal imports are expected to slowly stabilize towards the second half of the year and could even experience a rebound subject to hydropower performance. Grain trades are projected to remain flat year-over-year, while a rebound in minor bulk is expected to take place as the market recovers from the bauxite and nickel ore ban that affected trade during 2014. Before we close this presentation and pass the floor back to you for any questions that you might have. Let me walk you through our plan of action to tackle the current challenging market situation as presented on Slide 17. On the revenue side, we had been active and we formed the Capesize Chartering information sharing platform with four other partners to increase the efficiency of our Capesize vessels trading on the spot market. We continue to look out for profitable partnerships and remain alert for possible changes in the spot and period markets to be able to opportunistically employ our vessels with the best possible terms available. We intend to employ our fleet in an active and sophisticated manner tailored to the fuel efficiency in other specific attribute of rich vessel. We want to be well-positioned to capitalize on changes in the sentiment of the dry bulk market in the short to medium term. Once we see the market sentiment improving we will start taking some of the vessels on a longer term charters. On the OpEx front, we will continue to focus our effort on improving the efficiency of our platform and be one of the lowest cost operators in the dry bulk space. As we continue taking delivery of our newbuilding fleet, we will reduce our operating expenses and corporate overhead further. For 2014, we managed to decrease our OpEx by 14% year-on-year, while maintaining high levels of safety and equality and in quality with 85% of our vessels maintaining a five star rating by Rightship. Investments like the one we are making for our vessel performance monitoring department will help us have real-time feedback on various vital vessels parameters including consumption of fuel in order to be as efficient as possible and minimize the daily operating cost of our fleet. We continue our previously announced strategy of disposing tonnage that doesn't fit our commercial profile over the past three months; we have sold 4 Panamax and 1 Handymax vessels of average age of 21 years. On the financing side, we have committed debt in place for three out of 32 of our newbuilding vessels worth north of $900 million. We expect to finalize the debt commitments of $65 million for the remaining two vessels within the next two months throughout this tumultuous period we have found great support from new and existing lenders leading to a banking group which will count at least 14 banks when all our vessels are delivered. We have been in discussion with shipyards in which we are building our vessels and manage to agree on delays in payments and vessel deliveries for weather dry bulk market will have hopefully improved from its current lows. Last but not least, we proactively raise $245 million of equity in January 2015 to fully fund the equity portion of our newbuilding program. Through this transaction we were also able to strength our balance sheet as we raise more than $100 million of funds in addition to our CapEx needs to support the company through in the least low point of the cycle. Our current set of institutional shareholders Oaktree, Monarch, Angelo Gordon as well as my family and associates all invest into these equity raise as they all believe in the value of the platform and the prospect of Star Bulk. Overall, having the aforementioned plan of action in mind, we will all work tirelessly through these volatile markets to ensure Star Bulk's long-term success. In closing, I would like to take this opportunity to thank our shareholders for their ongoing support and we assure that we will continue our efforts to enhance long-term shareholder value. On the supply side, the right moves have been made by ship owners, scrapping, converting, canceling and not ordering. Without taking anymore of your time, I would now pass the floor over to the operator to answer any questions you might have.
Operator: Thank you. Your first question comes from the line of Ben Nolan of Stifel. Your line is now open.
Ben Nolan: Great. Thank you. And I have several questions, the first has to do with the financing, obviously, you guys have been very active lately in terms of lining up the new financing. And it looks like just sort of doing my back of the envelope math, that it was a really good loan to value ratio is anywhere from 60% to 70%, which seems like based on current asset prices and especially given this market is pretty good. First of all, I mean is that right, is my math right? And then secondly, is that the market or do you think you guys have some sort of an enhanced stability to line up that sort of financing?
Christos Begleris: Hi. Ben, this is Christos. Your math is correct. Basically, the latest facility that we closed with China EXIM, DNB and SEB were 60%. The other big facility that we closed and we have already drawn down part of it with Sinosure, Deutsche Bank and HSBC had a 68% fair market value clause.
Ben Nolan: Yes. That's pretty good. So and I guess just associated with that when I look at little over $900 million in committed financing that you guys have in place, is that, should I think of that as real dollars or is there a certain degree of flexibility in that as it relates to the fair value of the assets, I mean, could it potentially go lower, could it potentially go higher, depending on where where the market is for the asset?
Hamish Norton: Okay. That financing for the most part has fair market value clauses and based on today's broker valuations we would anticipate getting basically the full amount that you see in our slides.
Ben Nolan: Okay.
Hamish Norton: Obviously, if values drop then it might be a lower dollar amount, but, at the moment –
Christos Begleris: Just the good things with these date figures is that 11 out of the effectively 32 vessels are variable hires, which means that financing is fixed because of the percentage of the contract cost. So for the remaining 21, as Hamish said based on today's value, we will probably draw the whole amount and in fact we are drawing the whole amount for a vessel that's delivering in the next few weeks.
Ben Nolan: Okay. That's very helpful. And to the extent that number is accurate as of today, I think it's hard to imagine that assets values can go up a whole lot, [currently] [ph] the linearity have gone down. Switching gears a bit, the OpEx, with the reduction in OpEx was pretty substantial certainly relatively what I was thinking, but just even sort of on an year-over-year basis a pretty meaningful reduction in daily OpEx. How much of that can you attribute to just the economies of scale having a larger fleet versus, is this something that’s a little bit more proactive in over and above economies of scale and kind of along with that the levels that you guys have been able to attain is that a pretty good run rate or should we – was it exceptionally low this particular quarter.
Petros Pappas: Ben, a lot of it has to do with the size. And we can see that in our latest discussions with suppliers we’ll get major concessions from them. And of course, I mean it’s normal, when the market is tougher then we get tougher as well. Plus, I think that in a way the euro going down helps as well. So we are getting assistance from everywhere and we think we will do much better this year as well.
Ben Nolan: Okay. That's helpful. And then, I would ask about sort of where the CapEx program falls out on a timeframe basis, but I know that you guys said that you were bound by some confidentiality agreement, so my last question I guess relates to the turn in the market – the potential turn in the market that we have seen in the last few weeks certainly for the smaller assets and then within last week or so in the Capesize vessel, it seems as though maybe rates have the found floor and they are starting to slowly creep back up. Is that a correct read on my part from your perspective or are we just sort of coasting along the bottom here without really a clear sign of an improvement rate?
Petros Pappas: Well, usually there is two periods where the market is stronger, one is between mid-March and end of May and the other one is between mid-October and mid-December. This part of the year usually the market gets stronger because people are back from vacation and there is also the grain trade that increases. And therefore, I don't think we are coasting down the bottom. I think we might see a more meaningful upturn. But, I think it's going to be cyclical potentially this summer will be a bit challenging as again.
Ben Nolan: Okay. That's very helpful. Thanks a lot. That does it for my questions.
Operator: Thank you. Your next question comes from the line of Doug Mavrinac of Jefferies. Your line is now open.
Doug Mavrinac: Great. Thank you. Good afternoon guys. I just had a handful of follow ups as well. And my first question is related to the market. And Petros, I know that you guys are very involved because of your size, your scale and relationships with some of the industrial end users of some of these ships. So when you are having conversations with those guys, can you relate to us maybe their tone, their mood, their expectations of the market because as you said in your prepared comments because of how bad the market is right now, the order book is really getting decimated and ships are getting scrapped left and right. And so the outlook just doesn't seem that bad, not as bad as the current environment is, but is that maybe our shipping market views and is that shared with some of the industrial end users, so can you just share with us what – kind of what their views of the market might be.
Petros Pappas: One thing I have found out in my 37-year career is that you cannot really foresee the market a lot of the time. And that doesn't happen just for ship owners, it also happens for charters.
Doug Mavrinac: Right.
Petros Pappas: I think, however, that as of late and due to the supply side forces on the one-hand and on the other hand, on the macro economic things that are happening worldwide like cheaper raw materials oil and interest rates. There is more hope, but also I think there is a realization that to be able to get there, we need to act and looking at 600,000 deadweight ordering for the first three months of this year is amazing, I have not seen this since 1990 happen. So it shows – this is a very important development. And on the other hand I and – I think most players in the market think the demand will continue to be okay. For this year, 3.5% is not great, but we believe it's going to be potentially even as bit above supply. And don't forget that it will probably come from no one because the first three months of this year were very challenging and we haven't been able to calculate what the demand increase was. But, it might have been zero or even less than zero.
Doug Mavrinac: Right. Because it seems as though, yes, obviously, the latter part of last year, as you correctly point out, the couple of one-off events that occurred and then, you had this normal seasonality and people are extrapolating this is going to be the demand environment forever, but, what this actually maybe good because it is having a positive effect on the order book, so it is getting worked through. So whenever, we look at maybe asset values, some of the brokers of markdown assets 10%, 20% year-to-date, my question is how deep is that market right here, I mean, are assets really come-off that much, or is that just a handful of assets that are being done at these levels?
Petros Pappas: Well, there is a point where the dip-in asset prices is theoretical.
Doug Mavrinac: Right.
Petros Pappas: Like you might have a vessel that you would be willing to sell it, let's say $50 million, and somebody comes in and offers you $10 million. You are not selling. And he is not buying. So actually that's not the market. We are – it's in between, but what I see mostly that owners of vessels actually are speaking to some – to their prices, except if, there is somebody who has lost on whole or is going bankrupt, I don't know, I haven't seen much of that yet. And also I have seen that the newbuildings actually have lost less value than the second hand vessels. At least since last year and we are in the relatively fortunate position to have ordered in 2012. Therefore, the fall out is very small comparatively I would say.
Doug Mavrinac: Got you. I got you guys are perfect. And then just a final question before turning it over. If you had the ability to say, if one thing happens in this market it's going to turn on a dime or start getting better. All the things that we know could be – could help the market improve. In your view, what's the most important factor that if it takes place then we should be in for better days in the not too distant future?
Petros Pappas: I think clearly it's on the supply side, not ordering and scrapping. I think that's the most important part. And if I had the second choice, I would add that China actually does some infrastructure work which we are looking at. And therefore, needs iron ore and we expect that it's going to be more iron ore from Brazil, so China not slowing down on the iron ore front and taking part of it from Brazil.
Doug Mavrinac: I would say personally Brazilian iron ore.
Petros Pappas: Brazilian iron ore is a good thing.
Doug Mavrinac: Great. Thank you so much.
Petros Pappas: Thank you.
Operator: Your next question comes from the line of Amit Mehrotra of Deutsche Bank. Your line is now open.
Amit Mehrotra: Yes. Thank you. Good afternoon, Petros, Hamish, Christos and Simos. My first question is with respect to the comments on delays of deliveries, I mean I understand what you can tell is limited, but, if I'm not mistaken, the original plan was to take delivery of 25 newbuilding this year and Slide 13 sort of imply that the company is still taking delivery of the most, if not all of that by year-end. So could you just reconcile those two or maybe correct me if I'm mistaken.
Petros Pappas: Amit, we have unfortunately some confidentiality restrictions with the yards that we are discussing and we cannot give any information on the deferrals. So basically what we have done is, we moved some vessel deliveries from 2015 into the second and third quarter of 2016. But, at this stage, we cannot give any more information on that, of course, the payment of relative CapEx.
Amit Mehrotra: Okay. So Slide 13, when you have the pro forma number of ships that is not stated for the deliveries?
Petros Pappas: Correct. It's not updated. It's the original deliveries.
Amit Mehrotra: Okay, great. That's helpful. And then, with respect to just the delays of CapEx payments and listen, I can really understand the limitations but maybe you can just confirm what the original payment plan was, so if I'm correct, I think it was like somewhere around $950 million of newbuilding CapEx this year. And I assume that number will be reduced as a result of the push out to 2016. Can you at all, just help us with the magnitude of that reduction, I mean are we talking about $50 million or something maybe more meaningful, just so that we get the understanding when the company already as a very good cash cushion. I'm just trying to get an understanding of how much more that maybe enhance as a result of some of the proactive moves that you guys have done.
Petros Pappas: Amit, unfortunately the number is meaningful, but we could not give any further information on that. We will try going forward at some stage, if we get the agreement by the yards to give some guidance during the first quarter result or even later. But, at this stage we cannot give anything more than that.
Amit Mehrotra: Okay. I understand. I just thought that I would ask anyways. Let me just ask one more follow-up, if I may on scrappage. Because clearly everyone is sort of speaking about this as maybe a potential prelude to recovery in the market, and I totally agree that it's a good thing. But, Petros or Hamish, I love to get sort of your thoughts on what level of scrappage do you think we need to see to sort of drive a meaningful impact because historically, if you look scrappage peak in 1986 at 6.3% of the fleet, it peaked again in 2012 on the tonnage basis 33 million tons. But at the same time, we will also sort of add these historical increases imply from 2008 to 2012. So where do you think scrappage needs to be and how long does that take to get through the system because I assume that there is some level of scrappage capacity as well on the system. So maybe some thoughts on that would be helpful.
Petros Pappas: Amit, let reverse this a little bit and do a quick calculation for you. What's on order for this year is about 75 million tons. What is expected to be – what is the expected slippage which has been the same for the last three years is about 30%; 30% of 75 is 22.5. So we have, let's say we will remain at the same slippage although I think we will have bigger slippage this year for obvious reasons. Let's say we will stay at 22 million that leaves us with 53 million for this year. Now, we have 10 million tons of scrap for the first quarter. That would indicate 40 million for the year. We don't calculate that. We calculate around 25 to 35. Let's take the 25, the low-end. 53 less 25 is 28 million tons, which is about 3.7% of the existing fleet. So with conservative estimates of previous year's slippage and scrapping on the low end, because 25 million would mean – it's going to be 15 million only for the next three quarters. We still get only 3.7%. We have a secret hope that we will go even below 3% on supply but for now we are calculating around 3.5% following the calculations I just went through with you.
Amit Mehrotra: Okay. That's great. And then one last housekeeping question, Christos or Simos, can you just provide me with the share count at the end of the year.
Simos Spyrou: So Amit, the share count with the delivery of the latest Excel later this month is going to be 162.6 million shares.
Amit Mehrotra: Okay, great. Okay. Thank you all so much. Have a great weekend. Thank you.
Petros Pappas: Thank you.
Simos Spyrou: Thank you, Amit.
Operator: Your next question comes from the line of Spiro Dounis of UBS. Your line is now open.
Spiro Dounis: Good morning, gentlemen and congrats on getting all that financing locked up seeing some much positive developments today. Just wondering if you can give us a sense, just kind of following up on one of Ben's questions, what potential covenant issues might pop-up on maybe some of the existing vessels, if there is any sort of coverage ratios, we need to be thinking about. It sounds like the market is going to hit a bottom here, so maybe things should get better. But, just want to know if there should be anything on our radar?
Petros Pappas: I think Spiro on the basis of today's values, we don't have any breaches on the covenants even that the majority of our vessels were basically acquired in the last 2 years and we are finance conservative – conservatively because high level financing was thus non-existent. Therefore, we don't expect any major issues with LTV covenants in our facilities, which range from 70% to 80%, 82.5% loan to value days.
Spiro Dounis: Perfect. And then with respect to the Capesize Chartering co-op that you formed with the -- other owners, have you seen any clear benefit so far from this structure and maybe could you give us a few examples of other tools at your disposal that might give you an edge in this market.
Petros Pappas: Well, this has only been a three-week arrangement. And we haven't seen any tangible benefits right now expect from the fact that we have much more information than we used to have in the past. But, going forward, I think that this corporation will strengthen and in reality where it's going to assist a lot is when there is more demand of iron ore cargos. When there is no – when there is very few cargos, obviously, there is not very much you can do about it. But, the minute there is a few more cargos, we will be able to perceive it much quicker than it will wear on their own. And that is extremely important as this is actually not a pool. It's a very loose relationship. Now, what else can we do, what else can we do, I think size is important in charters we think to talk to you instead of talking to ship owner with a very few vessels because he can probably get what he needs from just one source. And if we are considered to be good operators, which I think we are then a charter would be very happy to just not have to shop around but basically deal with one company.
Spiro Dounis: Got it. That makes sense. And then just one follow-up on Capesize Chartering as well, it sounds like something so even on a good market, you will be open to kind of keeping that cooperation going, would you be open to new members at one point or expanding it even further?
Petros Pappas: Yes. This is a decision that has been taken by the corporation.
Spiro Dounis: Great. Wish you all. Thank you.
Petros Pappas: Thank you.
Operator: Thank you. Your next question comes from the line of Fotis Giannakoulis of Morgan Stanley.
Fotis Giannakoulis: Yes. Hi, guys. Most of my questions have been answered, but something very quick, if you can give us, I think your estimate for cost breakeven during 2015 and what is going to be your cost breakeven after vessels have been delivered any other reason flexibility with your banks, this breakeven at least for the near term to be reduced even further.
Christos Begleris: Fotis, we are estimating that breakeven for the 57 vessels that are spot today to be a little bit above [103,000] [ph] per day this including the figure that of the revenue that you have for the nine vessels that are already long-term time charters. Now, going forward, this includes operating expenses G&A expenses debt principle and debt interest repayment. And going forward with the delivery of the newbuilding vessels of our fleet and basically with our projections and estimations that we are going to achieve further synergies and economies of scale from managing large fleet, we believe that we will be able to reduce this figure even further. Now, on your final point about discussion and flexibility from the bank side to reduce this figure right now, obviously, we do not have any discussions yet on these issues with the banks. But, we believe that in case needed in the future we have the track record and the flexibility to discuss this and bring it even further down.
Fotis Giannakoulis: Thank you, Christos. And one last question to Petros. Petros, you have been in this industry for quite a long time and if I'm not mistaken actually you started through a very similar crisis back in the 80s. What are the differences and whether the similarities between this two different periods and are the lessons that you learned through the 80s that can be useful for investors right now?
Petros Pappas: First of all, there is a point where I should start hiding my age. Okay, similarities over supply, what happened in 1981-1982 was that there was a big congestion in Nigeria and that congestion actually was skipping 100s of vessels at their road for months. And that was misperceived as – and that might have went up a consequence and that was perceived as strong demand. It wasn't strong demand. It was just a lot of congestion. And therefore, people ordered. People ordered again two years ago. But, we adjusted well along with them, I mean I'm not going to do that – have to deny that. So the main – usually the main problem in situations like that is oversupply, because most of the time it hasn't been that demand was the culprit except for example in 2008 where we had other issues, the second part of 2008. Now, the solution to that is first of all, you have to have a low cost structure and that's what we did then and that's basically what we are doing now. And you have to be decisive when the time comes. So when there are things you have to do, you have to do them. I'm not going to get into detail about that. But, we did then and at that time it was like 2 out of 3 ship owners went bunker. And we are doing no. And of course, one thing that happened then it's not going to happen again I think is that banks panicked. And they started selling vessels without regards to price. And that actually made prices of vessels go down – got down the drain. This however is never happened again after 1985. The banks always kept their cool and this is what's happening now as well. So I think that this being frugal and looking forwards and doing things early enough. I mean we saw the problem in the first week of January and we raised $245 million. That was a good move and we did it first.
Fotis Giannakoulis: Thank you very much Petros. I appreciate it. Good answers.
Petros Pappas: Thank you.
Operator: Thank you. Your next question comes from the line of Sal Vitale of Sterne Agee. Your line is now open.
Sal Vitale: Good afternoon gentlemen. Thank you for taking my question. Christos or Spyrou, I don't remember which of you provided some of that detail earlier. Can you give a sense for how much you can borrow on your unencumbered vessels at this point? I think you mentioned that earlier.
Simos Spyrou: Hi, Sal. We have three vessels effectively that are debt-free in our fleet. And these are three 2004 built [indiscernible] Panamaxes. Debt potentially on these vessels is the region of $20 million.
Sal Vitale: $20 million per ship, right?
Petros Pappas: No, no, no. For all three.
Sal Vitale: In aggregate?
Petros Pappas: Yes. Your wish. Yes.
Sal Vitale: Right. There are still four vessels, got it. Okay, so that's $20 million of potential liquidity you can get there and then the liquidity covenant you have, I think its $500,000 per vessel is that correct?
Simos Spyrou: That's correct.
Sal Vitale: That's per underwater vessel, correct?
Simos Spyrou: Correct.
Sal Vitale: And then the last question really is, I think in the past you provided a real-time cash balance debt and payments you made on your newbuildings, is that something that you can provide today?
HamishNorton: Basically we haven't put in the slide deck, I think given that it's not in the slide deck; we probably don't want to be talking about it.
Sal Vitale: That's fair. I just thought I would ask, its fine.
Hamish Norton: Yes.
Sal Vitale: And the last question really, I think you answered this and I understand you can't be specific in terms of what deferrals you are expecting on your newbuildings, but can you give a sense like in aggregate how many maybe how many months of deferral you expect on average for the 15 vessels that will now be delivered in 2016.
Hamish Norton: So Sal, let me add a point to your previous question. We are going to try to update our presentation and maybe include some of those numbers you wanted on the Web perhaps next week.
Sal Vitale: That would be great. That would be great.
Hamish Norton: And in terms of the deferrals at the yards, unfortunately we have really kind of gone to the edge of what we are able to say given the confidentiality agreement we have. We would love to be able to say more and we will try to get permission to say more. But –
Sal Vitale: Okay. That's fine. Maybe just a last question is, so you talked about maybe borrowing some capital on – when it come to vessels, what else are you looking at in terms of options. You have recently done a share offering. Would you consider doing any sale lease backs I think you said in the past that's not one of your preferred options? What else are you looking at in terms of liquidity enhancing measures in the event that you don't see any significant recovery in the market near-term?
Hamish Norton: We are looking at pretty much every reasonable measure that I'm sure you are aware off. And I think it's probably not appropriate to discuss what we are actually doing. But, you will see as we take steps that we are taking aggressive steps to make sure we are in good shape.
Sal Vitale: Okay. Thank you. I look forward to the additional data next week. Thank you for your time.
Operator: And your next question comes from the line of Omar Nokta of Clarksons Capital. Your line is now open.
Omar Nokta: Hi. Guys actually my questions have pretty much all been answered, I forgot to press star 2. Thanks guys.
Petros Pappas: Thanks Omar.
Operator: Thank you. The next question comes from the line of Charles Rupinski of Global Hunter. Your line is now open.
Charles Rupinski: Good afternoon everyone and thank you for really good insights on the industry. I appreciate it. I just have one question. Most of my questions have been answered. But, I just wanted to give your take on the issue of lay ups recently, we heard off some warm lay ups and some fleets being idle. And also some potentially cold lay ups, could you tell me what you are thinking about how that might affect the dynamic near-term and if we see a rate increase how quickly vessels might come back in the market or how or your take on the fact that some of them might not come back in the market, anything on that would be great. Thanks.
Petros Pappas: Hi, Charles.
Charles Rupinski: Hello.
Petros Pappas: Well, first of all, lay up, you need – laying up $1,500 per day, let's say you laid up for a year, it would cost you $1500 per day to that lay up, the cost during lay up and then starting the vessel again. So what that means is that if your OpEx for example is $5000, you should start considering lay up, its $3500. So lay up for a year from now, you would need to think that you will be making $3500 per day for the next 12 months.
Hamish Norton: Yes. I think your question also refer to how quickly some of these ships that are in warm lay up?
Charles Rupinski: Yes. I'm curious how quickly they might come back in the marketplace, so in other words…
Petros Pappas: Warm-up lay up is 10 to 15 days. Cold lay up would be up to a month perhaps, if anything because when you are in cold lay up and for a year your – the bottom of the vessel gets very dirty and you would probably need to do a dry dock.
Charles Rupinski: Yes.
Hamish Norton: Warm lay up is going to cost you more because you have to keep a certain number of crew members on the ship.
Charles Rupinski: Right.
Hamish Norton: So –
Charles Rupinski: $1,500 you mentioned that's for cold lay up, is that correct?
Hamish Norton: Yes.
Charles Rupinski: Okay. And so warm lay up would be that plus crew.
Petros Pappas: Warm lay up would be, I haven't calculated by seeing the visual, probably be like $2,500 to $3,000 plus about 1 ton of fuel oil, another $500. So it would be between $3,000 and $3,500.
Charles Rupinski: Okay. It's very helpful. Thank you very much.
Petros Pappas: Thank you.
Operator: Thank you. As there are no more questions, we now pass the floor back to Mr. Pappas for closing remarks.
Petros Pappas: Thank you, operator. Just three very quick ones, on the supply side, I think that ship owners making the right moves by scrapping, converting, canceling and not ordering and that's very important. On the demand side, I think that low material – low oil and raw material prices and interest rates will boost the world economy as a whole and demand in consequence. And on the Star Bulk side, we are making sure we are extending our runway to be able to enjoy the good days that will ultimately follow this present tough times. Thank you very much.
Operator: This does conclude our conference for today. Thanks for participating. You may all disconnect.